Operator: Ladies and gentlemen, thank you for standing by. Welcome to the World Fuel Services 2017 First Quarter Earnings Conference Call. My name is Collin and I will be coordinating the call this evening. During the presentation, all participants will be in a listen-only mode. After the speakers' remarks, there will be a question-and-answer session. Instructions on how to ask a question will be given at the beginning of the Q&A session. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Mr. Glenn Klevitz, World Fuel's Vice President, Assistant Treasurer and Investor Relations. Mr. Klevitz, you may begin your conference.
Glenn Klevitz: Thank you, Collin. Good evening everyone and welcome to the World Fuel Services' first quarter 2017 earnings conference call. I am Glenn Klevitz, World Fuel's Assistant Treasurer and I will be doing the introductions on this evening's call, alongside our live slide presentation. This call is also available via webcast. To access the webcast or future webcast, please visit our website, www.wfscorp.com and click on the webcast icon. With us on the call today are Michael Kasbar, Chairman and Chief Executive Officer and Ira Birns, Executive Vice President and Chief Financial Officer. By now, you should have all received a copy of our earnings release. If not, you can access the release on our website. Before we get started, I would like to review World Fuel's Safe Harbor statement. Certain statements made today, including comments about World Fuel's expectations regarding future plans and performance are forward-looking statements that are subject to a range of uncertainties and risks that could cause World Fuel's actual results to materially differ from the forward-looking information. A description of the factors that could cause the results to materially differ from these projections can be found in World Fuel's most recent Form 10-K and other reports filed with the Securities and Exchange Commission. World Fuel assumes no obligation to revise or publicly release the results of any revisions to these forward-looking statements in light of new information or future events. This presentation also includes certain non-GAAP financial measures as defined in Regulation G. A reconciliation of these non-GAAP financial measures to their most directly comparable GAAP financial measures is included in World Fuel's press release and can be found on its website. We will begin with several minutes of prepared remarks, which will then be followed by a question-and-answer period. At this time, I would like to introduce our Chairman and Chief Executive Officer, Michael Kasbar.
Michael Kasbar: Thank you, Glenn and thank you to everyone on the line for taking the time to join us. Today we announced first quarter adjusted earnings of $35 million or $0.50 adjusted diluted earnings per share. Our aviation segment posted solid results, carrying the strong year-end momentum into the beginning of 2017. Gains in our core resale activities in North America, Europe and Asia were the principal drivers of the year-over-year increase along with government fueling operations. Also during the first quarter, we completed the last phase of the previously announced acquisition of ExxonMobil fueling operations at more than 80 airports. As noted in prior communications, this transaction represents a significant strategic expansion of our global aviation platform further establishing us in the supply chain in numerous key international markets. In our marine segment, results were again impacted by an industry which continues to bounce along the bottom of what remains a very challenging operating environment. Slightly positive indicators in the container and dry bulk markets including - increased trade flow to China are small signs that the industry could be moving towards improvement but we will need to see a sustainable positive trajectory before acknowledging that the industry is coming out of what has been a multiyear stagnation. Although prices have increased significantly from a year ago, continued lack of material price volatility continues to pressure profit margins and demand for embedded derivative products. In the meantime, the cost savings initiatives that were recently completed have allowed us to consolidate and streamline operations in order to adapt to the current market dynamics. In our land segment, profits rebounded sequentially but were lower than the year ago period due to a decline in consumption of both natural gas in the U.S. and heating oil in the U.K. due to a warmer winter. Results were further impacted by poor market dynamics mostly in oversupplied market around our legacy spot wholesale supply and trading activities on the East Coast. Our commercial and industrial end-user growth strategy is taking hold as the PAPCO, APP and Kinect businesses are discovering many commercial synergies that we will begin to realize in the second half of this year. The multi service payments platform continues to perform well yielding double-digit growth and given the abundance of organic growth opportunities that are available in the marketplace. We expect this activity to become a significant contributor to profitability in the future. Finally, we remain focused on integrating and streamlining overall operations across all of our segments and functions by utilizing standardized processes and technology that create efficiency internally and greater value for our supply and demand partners as we build out our global energy management, fulfillment and payments business. We appreciate the continued support from our long-term shareholders, our customers and suppliers, and the tremendous engagement of our global teams. Now I will turn the call over to Ira for a financial review of our results.
Ira Birns: Thank you, Michael, and good evening everyone. Consolidated revenue for the forward quarter was $8.2 billion up 58% compared to the first quarter of 2016. The increase was due to the 55% increase in oil prices, as well as increased overall volume principally from the APP and PAPCO acquisitions that were not included in last year's first quarter results. Our aviation segment volume was 1.8 billion gallons in the first quarter, up 200 million gallons of 13% year-over-year. Volume growth at our aviation segment was derived principally from gains at our core resale operations in North America, Europe and Asia. Volume in our marine segment for the first quarter was 6.8 million metric tons down approximately 800,000 metric tons or 11% year-over-year. The largest driver of the volume decline came from a reduction in low margin, low return activity in Asia. Our land segment volume was 1.5 billion gallons during the first quarter, that’s up approximately 300 million gallons or 23% from the first quarter of 2016 again principally driven by the acquisitions of PAPCO and APP. Lastly, fully consolidated volume for the first quarter was 5.1 billion gallons, an increase of approximately 300 million gallons with 6% year-over-year. Consolidated gross profit in the first quarter was $231 million, an increase of $10 million or 5% compared to the first quarter of 2016. Our aviation segment contributed $100 million of gross profit in the first quarter, that’s an increase of $11 million or 13% compared to the first quarter of last year. The principal drivers of the gross profit increase came from our core resell business, as well as our government related business activities. In terms of the ExxonMobil transaction, while the transaction is now effectively complete, the integration process is continuing. While we expect this transaction to begin making profit contributions during the second quarter, we believe these opportunities will strengthen as we enter 2018, once we gain a few quarters of running these operations under our belt. The marine segment generated gross profit of $34 million, that’s down $6 million or 14% year-over-year. The gross profit decline in marine was principally driven by reduced volume in margins in our core business impacted by market conditions and lower profits from the sale of price risk management products to our marine customers. In the mean time, the actions that we took over the past few months to streamline our operations in the marine model by taking cost out of the business have been effectively completed which has improved the operating efficiencies of marine business going forward. Our land segment delivered gross profit of $98 million in first quarter, that’s an increase of $4 million or 5% year-over-year. The increase in land segment gross profit is principally attributed to recent acquisitions offset by a decline in our European land segment profitability driven by warm weather and also a 14% decline in currency rates compared to the prior year, as well as lower profitability related to supply and training activities in the United States. As a follow-up to last quarter's call, the Colonial Pipeline generally returned to normal in the first quarter reducing the global supply in the Midwest which returned to profitability, where our conditions in the Northeast didn’t improve materially as this market remain oversupply for much of the quarter. Non-fuel related gross profit associated with our multiservice payment solutions business was $14.1 million in the first quarter, that's an increase of 13% compared to the first quarter of last year. We continue to expect gross profit from this business to grow 20% year-over-year as we continue to find new opportunities by leveraging our growing payments platform. As I continue with the remainder of the financial review, please note that the following figures exclude the impact of $4.8 million of pretax non-recurring expenses in the first quarter, as well as non-recurring items incurred as previously reported as highlighted in our earnings release. This amount is principally comprised of acquisition related expenses and severance costs. To assist as all of in reconciling results published in our earnings release and 10-Q, the breakout of the $4.8 million is as follows; $2.7 million impacted the aviation segment, $600,000 impacted the land segment, $500,000 impacted the marine segment, $400,000 impacted unallocated corporate expenses, and $600,000 impacted non-operating expenses. Of the $4.2 million which impacted compensation and G&A, $1.4 million impacted compensation and $2.8 million impacted general and administrative expenses. The reconciliation of these amounts to be found on our website and rest live of the webcast presentation. Operating expenses in the first quarter excluding our provision for bad debt and one-time expenses were $174 million up $17 million or 11% year-over-year but a decrease of $7 million or 4% sequentially reflecting the impact of our continuing cost cutting initiatives. The year-over-year increase in operating expenses was principally related to expenses of acquire businesses. Total operating expenses excluding bad debt expense and any one-time cost should be in a range of approximately $174 million to $179 million in the second quarter which is effectively flat with the first quarter adjusted for incremental expenses associated with the recently completed ExxonMobil transaction in Australia, New Zealand, Germany and Italy. Our bad debt provision for the first quarter was $2.5 million up $1 million compared to the first quarter of 2016. Consolidated income for operations for the first quarter was $55 million down $8 million year-over-year but an increase of $21 million sequentially. Non-operating expenses principally comprised of interest expense in the first quarter was $13.7 million an increase of $7.4 million compared to the first quarter of 2016 principally related to increased borrowings associated with our increased volume higher fuel prices, the funding and acquisitions and higher average interest rates compared to last year. I would assume non-operating expenses to be approximately $13 million to $16 million in the second quarter. Our effective tax rate in the first quarter was 16% compared to 13.2% which excludes discrete tax item in the first quarter of last year. At this time we still estimate that our effective tax rate for the full year of 2017 should be between 15% and 18%. Adjusted net income was $34.6 million this quarter down $18.3 million year-over-year. Non-GAAP net income which excludes one-time expenses and also excludes intangible amortization and stock-based comp was $44.5 million in the first quarter a decrease of $18 million from the first quarter of last year. Adjusted diluted earnings per share was $0.50 in the first quarter down from $0.76 in the first quarter of 2016. And non-GAAP diluted earnings per share was $0.64 in the first quarter down from $0.90 in the first quarter of 2016. Our total accounts receivable balance was $2.2 billion at quarter end down $135 million compared to year-end 2016 and networking capital was approximately $940 million down approximately $90 million compared to December of 2016. Both down despite an increase in average fuel prices during the first quarter. After using a modest amount of cash in the fourth quarter we generated $137 million of cash flow from operations in the first quarter. That is the 18th at the less 19th less quarters where we have generated positive operating cash flow. Additionally we repurchased $11 million of shares of common stock in the first quarter and we expect to repurchase additional shares over the course of the year delivering incremental value to our shareholders. In closing we generally performed as expected in the first quarter rebounding from our refinished at 2016 and after using cash from the fourth quarter to the first time in four years we not only generated cash again this quarter but generated significant cash. All the corner where we saw fuel prices increasing. We remain confidence in our ability to deliver results for 2017 consistent with the guidance we provided when started the year. As previously stated last quarter such expectations remained attendant on continued strong contributions from our government related activities anticipated contributions from three recent acquisitions the start in normal winter weather patterns in the U.K. and U.S. and our ability to fully realize our previously announced cost saving initiatives. I would now like to turn the call over to Collin our operator to begin the Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of Jack Atkins with Stephens. Your line is open. Please go ahead.
Jack Atkins: Hi guys, good afternoon. Thanks for taking my questions. So I guess just to start off here first, congratulations on getting the Exxon transaction closed. I know you guys are glad to have that completed. I guess could you maybe talk for a moment about the process of integration? I know there's a lot of heavy lifting going on. Now into the deal closing multiple tranches, but what are - sort of pulling it back together after the deal was closed, just sort of curious, as you think about that $0.24 to $0.28 EPS accretion run rate that you targeted, when you announced the deal, is it really sort of early 2018, Ira if I’m hearing you right, is that before we sort of get to that run rate?
Ira Birns: Yes. I'll go down, and Mike can talk a bit about the ongoing at the great connectivity. So, first of all, you have to consider that foreign exchange rates have moved significantly since we announced the deal and in the wrong direction in this case. That's certainly impacted the shorter term accretive opportunity from this deal. And it’s also taken a bit longer to begin achieving the efficiencies we initially forecast for some of the reasons that Mike might get into in terms of having to take this over, and really kind of start again from scratch. But as we enter the second half of the year, or even in this quarter that we're in right now, we expect to start generating profitability. And as I said in my prepared remarks that to accelerate more in 2018. So I think we originally stated that we would achieve that level of accretion in the first 12 months following the full completion of the deal. If it wasn't for the FX impact, that would probably still be principally correct. But we’re likely going to be a bit shy of that because of FX. So we will be run rate of somewhere in the low 20s as opposed to the low 30s. But we expect that to tick up as we enter 2018 and beyond.
Michael Kasbar: Just a little bit more color, Jack. It’s a source of pride for the company in terms of how the team performed. It was certainly one of the more complicated acquisitions that we’ve done just from the standpoint of the number of locations and the requirement is taking immediate ownership. Systems needed to be in day one. There was a number of moving parts, obviously, the physical logistics and taking that over in seven countries. So we are pretty proud of the team. But as Ira just commented on, as he indicated in his prepared remarks, it’s going to pick up later on in the year. But it really is a good strategic move for us gives us a great foothold in those countries in getting into the physical distribution space. We are seeing more synergies coming across our land marine aviation, our Kinect business and multiservice. So there’s a lot of convergence going on. And being able to get involved in these different countries and getting a deeper into the distribution chain is exactly what our strategy is in terms of that omni-channel approach to be able to fulfill our customer’s requirements in any number of different ways on inventory distribution, third-party, value-added reselling or using technology. So there’s a lot of convergence going on and we’re pretty proud of our ability to do that.
Jack Atkins: Okay, that’s helpful, Mike. Thank you, Ira as well. And then I guess for my second question. Just very curious to sort of get your take on capital allocation from here because sort of reading in the press release, I’ve been known to sort of make a mountain out of a mole hill in the past. But it certainly seems like you guys are signaling that maybe interested in doing more on the buyback. Your cash flow is fantastic. You have the cash flow that certainly supports whatever you want to do there. But also I know you guys have sort of your first priority for capital deployment being back in the business either for growth or for the acquisition. And so just curious what you're seeing on the M&A front. And also are you trying to signal that you could get more aggressive on the buyback as you move through the year?
Ira Birns: Thanks for the question, Jack. So as we’ve indicated in the past, we’re always considering how to best allocate our capital between funding organic growth, making acquisitions or buying back shares. So as we’ve said in the past, we remain committed to buyback enough shares annually to offset the diluted impact of our employee stock awards and we will always consider additional repurchases especially when we feel our shares are undervalued. But again, it’s a balance in terms of identifying how much capital we have available to us. We are still focused on looking for a strategic acquisitions very carefully, and need to make sure we’ve always have our powder dry for that. So should we generate significant amount of incremental cash flow that we had in forecast, that gives us some extra capital to allocate either to buybacks or organic opportunities or M&A. So I think any where we’re signaling formally is that we expect to make good on that commitment to buy back enough shares in 2017 to at least cover the diluted impact of warrants and keep our share account constant. Whether we do more than that is dependent on a lot of things and I really can’t give you a clear answer on that at this point in time.
Jack Atkins: Okay. That’s helpful, Ira. Last question and then I'll turn it over. Mike, you signaled in your prepared comments that maybe there are some early positive green shoots in the marine market that leave you encouraged, maybe we’ll start seeing the market. Certainly as bottomed here, maybe perhaps get a little bit better as we look out over the next several quarters. Just if you could expand on that for a moment and sort of - how long do you really need to see these more positive developments sort of continue before it start showing up you think of a business?
Michael Kasbar: Well, it’s interesting. You’ve got a lot of things going on in the world today. You’ve got the world in transition, you've got industries in transition, we are in transition. The energy market is a wash. There’s a heck of a lot of oil around. Technology has just changed everything. But without getting long-winded, if you look at - it's really interesting as you see how our different businesses have led in different ways over a period of time. So, our aviation business is doing extremely well. You can see that we've got scalability there. We're growing our top line and you're getting scalability there. And that is a diversified business model that has proven to be successful and that's been built over a long period of time. If you look at marine, and now John Rau leading marine coming out of the aviation industry, there's a lot of similarities. They’re both moving target so to speak between a ship, a plane, an airport, a seaport. And he is doing I think a tremendous job in terms of really looking at that business with a fresh pair of eyes. So our traditional value perhaps is a value added, third-party value-added reseller. A lot of those have been challenged to be honest with you. Certainly the market is kind of shallow now. There’s not a lot of movement. There’s not a lot of price volatility, derivative activity. I mean, just saw something come out with - say the price make go to a $40. So credit price is low. So they are not getting challenged that much. There is cheap money out there. And there's a lot of oil. So offshore is not looking so good. So it's a whole different ballgame, and it's really about becoming a very tight operating company. I mean, ironically, we are probably, if you look at the level of professionalism in our operation, we are healthier than we ever had been. Those initially show that in the numbers, but just in terms of where our organization is at, so the marine industry is challenged, it’s critical, 90% of the world's good transit. It’s not going to go away. And they’re going to continue to use energy. You've 2020 coming on board. So that’s going to change a number of things. We’re in the LNG, natural gas space. We're in the disk full of space by our land business which will end up going global. So I think we’re in a good position to deal with this emerging new marine industry and it's just going to be different and it will be getting involved in every part of it. So regardless of where the industry goes, we’re going to be a player in it. It is perhaps going to be different sources of revenue where it's not going to be frothy in terms, we’ve got volatility, we make the killing. And I think if you look at our land business, we acquired Western, there was a significant amount of wholesale spot business, we rode that. In Q4 of '14 and Q1 '15, the music stopped because the market dropped and it dropped again. OB went back but the prices dropped and it really just changed everything. So it's really about being a responsible player in the marine space and being their energy management and procurement company where we are reliable counterparty and providing a suite of services. So I know it's really long-winded answer Jack, I’m sorry for that but regardless of where the industry goes, we want to be a player in it. We've got a think of phenomenal platform and we got a lot of products and services and it's really becoming - making it easier for us to do business with the market and the market do business with us in providing that multisided platform so that energy can be delivered and consumed to the marine industry. So it's just going to be different and to think that we’re going to have rock and roll days, I'm not sure if that going to happen. Technology has just changed everything. We got really an environment of post scarcity anarchy. There is just a supply of everything and you look at technology, you got shale oil that is reducing - everybody is reducing your cost, where was this type of cost. We had lunch today, and our risk manager commenting that, offshore rigs used to be $800 million, now they are $100 million. So there is just a supply of everything and the world is changing and we're positioning ourselves really to be a technology company that just so happens to know a lot about fuel logistics and that's really where we're going. So, anyway sorry for the long answer.
Jack Atkins: No, Mike, thanks very much for a thoughtful response. I appreciate it.
Operator: Our next question comes from the line of Gregory Lewis with Credit Suisse. Your line is open. Please go ahead.
Gregory Lewis: Hi thanks, good afternoon everybody. Mike, I am also going to ask this, but this - you mentioned a couple times in reference to some of Jack's questions about marine. As we try to parcel out marine in terms of dimensional shipping i.e. you want to call that dry bulk, container shipping, tankers, versus say other marine i.e. you mentioned an offshore rig, you mentioned LNG. Is there any way to sort of parcel out whether you want to look at it on revenue or EBIT or gallons. However you're thinking about it and I don't need numbers, just kind of curious in, as we split up revenue, how would you curve up that pie to buy.
Michael Kasbar: So container, we've been historically very strong on the container side, so back in the day and this came out of some of our government contracting – some of the government requirements little bit out there but it was sort of tested us and they would ask for pricing at that - they had very little to do with the price of oil in that particular ports or the index was someplace remote. So we had to do a lot regression analysis and understand the correlation and that forced us to understand price movements and whatever, made as the early stage of big data but we are doing on the 10-K. But in any case that brought us to the container line of business. We came a general contractor and started to offer contracts that we're competitive than any single - supplier was willing to offer because we're working the entire market and then we started to embed derivatives contracts there. So historically we've been very strong with container liner market. It's a mix now. We still have debt there. Obviously there, the sizable part of the market, the dry cargo side I think is that after that tanker is not historically been a strong part of that major oil companies and some of the oil crowd, so any case. And then the specialty side, if it flow set of uses marine fuel, their customers but the container has been the predominant part of our portfolio.
Gregory Lewis: Okay, great. So specialties not that big of a position and it looks like the container ship market is finally showing some signs of recovery so that's good. Ira, just switching gears here, I mean the cash flow you kind of called that out, the cash flow is good, oil prices went up. What you think is driving that cash releases, is some of it seasonality or is it just any kind of calling you can give us around why you know in a high role price environment did the cash flow was a strong as it was?
Ira Birns: We are very focused on managing working capital on a day-to-day basis and we're increasing our focus on that and just focusing on the - our operating activities day to day and part of that is managing our collections, managing our inventory to maintain optimal levels of inventory, and we just did a really good job of that in the first quarter and we remain focused on that as the year goes on. Our debt level was a bit higher than we been at the end of the year and we're looking to try to bring that number down a bit that is by generating cash. So, it was simply basic blocking and tackling over the course of the quarter that got us good solid results.
Gregory Lewis: Okay. So I mean as think about the blocking and tackling and where the company was and where the company is right now, is there still a lot - is there still a lot of that that's - can be done or we kind of you - we really worked hard on that over the last couple of years and now we’re kind of just, it’s going to be back to more of a operating business where the cash is going to show up depending on what type of business we're doing that quarter.
Ira Birns: At the end of the day Greg, should oil prices remain in a fairly zip code, and of course the prices goes up significantly or down significantly it impacts our working capital position which impacts cash flow. But assuming oil prices remain at a fairly tight range. We should be generating cash over the course of the year I am pretty good with our EBITDA generation. So that may not happen ratably, quarter-by-quarter but if you look at that, the result in the whole year that should be the case. I think in earnings release as stated we generated $1.3 billion of operating cash flow over the last five years, that's about $260 million a year. Our EBITDA level is a bit above that now. So it seems to be a reasonable expectation for us again barring significant changes in the market which would impact our balance sheet.
Gregory Lewis: Okay guys. Perfect. Thank you very much for the time gentlemen.
Operator: And our next question comes from the line of Ken Hoexter with Merrill Lynch. Your line is open. Please go ahead with your question.
Ken Hoexter: Good afternoon, Michael, Ira and Glenn. Just as you talk about the cost reduction program kind of ramping up here, I just want to talk with the dozens of acquisitions you've made. You know are there things that you found as you went through the process that you can - you know that you can continue to work on integration and still find ways to make all of the acquisitions you made more efficient and blend them onto systems or do you think that is mostly done at this point.
Ira Birns: No, we still have a long way to go. I mean that probably is one thing that we may not be most proud of historically in terms of our ability to – it's great effectively and efficiently from a cost standpoint as quickly as we like to do. So we're getting better with that. We're more focused. We have a growing team of people that focus on those types of activities day-in and day-out. We’re doing chunkier deals. We historically have been doing a lot of small to medium size deals were there we're fairly significant efficiency to be achieved when integrating those businesses. And now that's changing a bit with PAPCO, APP, the Exxon deals are little different because of the nature of that transaction which Mike talked about a little while ago. So we still - if you look at our land business, our land business really an amalgamation of a lot of acquisitions over the past decade and whether it's cool thing to say or not, we got some deals that we did few years back and still aren’t fully integrated on a common platform. So there are lot of efficiencies yet to be achieved especially in land. If you look at the cost ratios in land, they are not where they should be and that’s one of the principle reasons. So we're very focused on that. That’s an opportunity for us which is positive and over the course of this year, there is a lot of focus on driving that landed business to a singular platform which will allow us to gain efficiencies in that business that we haven’t been able to last few years.
Michael Kasbar: And I’ll just add on to that, I have been saying this for a while that while we do have these reportable segments and plane is different from the ship and a truck and rail, if you stand back, they tend to look a bit similar. So generic sizing some of these and looking at you know these processes I think that there is a good amount of value that we can bring to the table. So we’ve been focusing on that so I’m optimistic that there's more that we could get in terms of efficiencies.
Ken Hoexter: So then to continue on that I guess is a follow-up to that one if your Marine margins are kind of half where your aviation land is right now is that just a volume pickup that needs to get there to get those to leverage that or is there still costs that can be pulled out at Marine?
Michael Kasbar: Perhaps listen I think that we did something that wasn’t amount to there to say it we've always managed to figure out how to make money and the world did stop in terms of what our traditional value props have been they all came under attack and we can only be accused of not moving a little bit more quickly but there's certainly more efficiencies and as I said earlier we are better company today than we were a year or two ago but we're still working on that there's more efficiencies without question. So I wouldn't say they’re going to be as dramatic but I guess I could surprise myself. So but we're certainly going to be a hell of a lot of more thoughtful without that just like every other company. I mean every other company is picking up nickels and dimes right we are indirect procurement for everybody practically and in the same way that we found many people are finding money on us so it just a whole different world. It's just a more lean environment and it's all about doing more with less. So we get it then we’re on it but it is something that you got to build up that muscle in terms of becoming a very sharp operating company we traditionally came from price discovery and underwriting and looking at the optimization everyone is carrying a supercomputer in their hand now. So it's just a whole different world than I think that we are extremely well placed in terms of global energy management. We've got tremendous amount of diversification we started out as a third-party value-added reseller we had inventory in 22 locations, we’ve got physical distribution and we’ve got payment business, payment solutions. So I’m very encouraged about what the long-term future proposition is for the company but it’s not going to be built in a day.
Ken Hoexter: Perfect and for my second question I guess I was just more maybe a numerical question but you spend 88 million on the acquisition this quarter on the cash flow. Is there anything leftover for the Exxon now that you wrap this up. And then I guess maybe to follow Jack's question in being more specific on the Exxon what's left for the integration now – what do you have to do now that you've got the assets?
Ira Birns: So I could start with the first part of your question we’re all done now there is a couple of strangler locations one or two airports that had some technical issues that involve a little more time but basically we’re 99% complete on that deal and there is no additional cash out flows of any significance are related to that transaction. So what do we have to do I think Mike mentioned earlier we basically – unlike most integration day one as we close on each piece of this transaction we had to turn light switch on our system for the first time. And you know got to understand how that all transpired on a day that you flipped the switch. So we’re learning a lot about the supply side of that business we’re learning about the customer contract that we’ve inherited some of them better than others. So there is just a lot of learning going on and it’s one of the cases where we bought house from someone and they weren’t necessarily taking care of it as well as they should have before they sold it because they lost interest and now we got to kind of bring that house to a level that makes a lot of sense for us going forward and that’s really what we’re going through. So we’re learning the good news is as we’ve been able to close locations on every couple months so we didn’t happened at once it’s has given us plenty of time to really get up to speed and so it just a time consuming process but we’re getting there we got a lot of smart people who have focused on all the key aspects of making that transaction as profitable for us as possible.
Ken Hoexter: Great Michael, Ira and thank you very much of the time.
Operator: And our next question comes from the line of Ben Nolan with Stifel. Your line is open please go ahead.
Ben Nolan: Yes thanks. So I have just couple the first is a follow-on to Ken’s question I know that you guys talked a little bit about this in the previous quarter in terms of the cost savings and it sounds like the Marine side is where you wanted to be, but there's more ground to be covered and the other is particularly on the land side I was hoping that maybe you could update me on how your thinking about what that might mean in terms of actual dollars on the cost side but say over the course of this year how much more do you think you might be able to bring out the system?
Ira Birns: Well we announced $15 million to $20 million on last quarter’s call of savings principally outside of Marine so we talked about Marine in 2016 and that was effectively complete as we enter in the first quarter when we talked about last quarter was with a lot of different things I got into some of the details in the call in February. We really have nothing to share beyond that at this point not that we’re not trying to identify more savings opportunities every moment, every day we might have something to talk about next quarter but for now we’re busy executing on the $15 million to $20 million that we made referenced to back in February. And just reiterate that was a hodgepodge of things including some redundancy some IP-related cost savings, some savings on the indirect procurement side a lot of different things that we’ve been focusing on and try to gain efficiencies across every line item from compensation through G&A. So that’s all we have for now it’s not to say that we’re not going to find more opportunities but we are just not prepared to formerly talk about anything incremental at this point in time.
Michael Kasbar: I think the only thing that I’ll do that Ben is you always said a solving for the sweet spot and our land business is still relatively young. So we didn’t start notice until 2008 with branded wholesale and really with C&I we just started less than a year ago. So we don’t – for what we're trying to do in terms of this diversified energy management and fulfillment business there are no possibility out there, there no industry solutions because nobody doing what we’re do. So we’re little bit challenged I’ll be honest with you in terms of putting it altogether and getting this highly scalable machinery going. So that is definitely impacting our cost and in an adverse way but I'm confident that with the superior team that we have in place that we will crack the code on that and that will give us more operational efficiencies. So we’re on it but it is going to take a little a while but it’s critically important because it's a very competitive market. So we know that we have that in front of us and we certainly have a lot of manpower, and a lot of man hours get to it. We are earnest in wanting to get there that will certainly produce a better operating company and better operating results but we still have that in front of us.
Ben Nolan: Okay, that’s great. And thanks for the color. But my next question relates to really did the land business and again something Mike that you had brought up earlier I think about that high inventory levels that we see in United States and how that has somewhat of an adverse impact on your profit margin. Could you maybe talk through exactly how that works and what you’d hope to see as obvious we’re seeing inventory levels fall for refined products. How beneficial is that to two your margins in long run?
Ira Birns: It’s not beneficial at all so I mean it’s quite extraordinary right, so right now world stocks are something like 300 million barrels above the five year of average. So the market is very sloppy I mean, I don’t say we’re drowning in the oil but there is a whole lot of oil around that demand is not huge. The economy is less energy intensive and it’s more diverse. So the diversity is good for us because we are very much into diversity in every way including sourcing energy. We handle about 180 different product in our companies. So we are very much an energy supermarket and it’s really about providing what the market needs. So I started out a long time ago in the marine side. Obviously, we’re fairly sizable in the aviation side. We have two truly global businesses where we’re dealing with fulfillment in over 200 countries. Our land business is now getting a density in the United States, and certainly has density in the U.K. and in Brazil. But having a significant amount of oil means that there is an enormous choice in the marketplace, and it’s just supply and demand, and that typically is going to put pressure on margins. So it’s no different than any other marketplace. And we just really have to focus on being the most efficient provider, and being that omni-channel provider and doing it globally and adding more products and services and providing those solutions. So that's really what we're about. Marine is certainly a part of it. I think it has a long-term role within the portfolio. It’s not going to go away. But we are really diversifying our business to be broad-based in terms of commercial and industrial and adding the payments to it. Make sense. So we are distributing a tremendous amount of energy products. It used to be just marine and aviation now by virtue of our Kinect Energy Group, there really isn’t any consumer of energy including power and natural gas that we can’t provide some level of service to. So that I think is the exciting story about World Fuel. It’s certainly beyond fuel. And so some company started selling books. So I started selling bunker fuel a long time ago, and now it's a bit more than that. So that’s the exciting part. And having a marketplace that is oversupplied, I think we’re in a good position because we understand the end consumer, we understand the demand. And that is something that will never go away. Satisfying that customer is definitely a challenge, but it’s what we’ve been doing our entire life. So really we’re trying to make the company sort of bulletproof from the perspective of pricing, what supply is, and just becoming a flow business that is extremely efficient from an operational perspective and has a broad base of products and services.
Ben Nolan: And then last one if I can squeak in. You now absorbed or have taken a little bit, I suppose of all three of the acquisitions that you did in the last eight months. I’m curious how you're thinking about incremental acquisition, what type are you seeing good things in the market. And is that something that you’re active on or you’re still sort of focused on really integrating the things that you have acquired?
Michael Kasbar: It's been in at game, one of our board members was using the analogy of how you scale a mountain and you sort of regroup a base camp. So we’ve certainly done more in recent periods than we’ve done in a little while. So the belly is full to a certain extent. And we’re extremely focused on driving organic. At the end of the day, it’s all about organic. The minute you buy a company, what you have to do, you got to drive organic. So the retail therapy is good, but it fades pretty quickly. And all you’re going to do is just be that serial acquirer. That’s fine, but we will continue to explore every opportunity that comes across our desk that fits both strategically and financially that will accelerate, extend or complement our long-term strategic journey. So we are zeroing in very much on where we think we need to be. Right now it really is about consolidating, getting the operations down, getting the technology working for us. The whole name of the game is technology without a question, both to improve our internal efficiencies and to provide value to the marketplace in terms of our buyers and sellers. But we continually evaluate. Ira runs our corporate development council, one of our seven councils that essentially govern what we do in this company. And that ability to process that is pretty impressive. So we will continue to acquire, but we want to make sure that it’s the right business at the right price and really fits the strategy.
Ben Nolan: Okay, great. Thanks a lot guys.
Operator: And Mr. Kasbar, there are no further questions at this time. I’ll now turn the call back to you for closing remarks.
Michael Kasbar: I just want to thank everybody for the time and the support. So thanks very much and we’ll look forward to talking to you next quarter.